Operator: Good morning, everyone. I would like to welcome all of you to Credicorp Ltd. Third Quarter 2018 Conference Call. We now have our speakers in conference. [Operator Instructions] With us today is Mr. Walter Bayly, Chief Executive Officer; Mr. Gianfranco Ferrari, Deputy Chief Executive Officer; Mr. Alvaro Correa, Deputy Chief Executive Officer; and Mr. Reynaldo Llosa, Chief Risk Officer. It is now my pleasure to turn the conference over to Credicorp Capital’s Chief Financial Officer, Mr. Cesar Rios. Sir, please go ahead.
Cesar Rios: Hi, good morning and welcome to Credicorp’s conference call on our earnings results for the third quarter of 2018. Before we review Credicorp’s performance in the third quarter of 2018, I would like to highlight some important matters that characterize the scenario in which we have operated in the last months, tailwind for our businesses. First, the private formal labor market remains robust. Different indicators like payrolls from the private sector showed healthy growth rates. Second. The second anchovy fishing season is expected to boost GDP growth in the fourth quarter. Third, we see a gradual recovery in private investment due to ongoing mining investment cycle and the expansion of Jorge Chavis International Airport. As headwinds for our businesses, first, the international environment has become more challenging; second, the slowdown in private investment during the third quarter of 2018. With regards to the political environment, Peru will hold a referendum on December 9 to address the following issues: reelection of members of the Congress; reforms regarding financing for political parties; a reform of the judiciary system; and the return to a bicameral parliamentary system. Finally, as we have shared with the markets in the last months, unfortunately, the political noise has posted ups and downs during the last months and it might continue in the following months. Let’s move to the next page please. Here, I would like to discuss the evolution of the local economy in the third quarter. In chapter #1, you can see that in the third quarter, our estimate of Peru’s GDP growth disaccelerated to 2.5% year-over-year due to the negative contribution of the primary sectors to real GDP growth, while non-primary GDP grew around 3.5% year-over-year according to our estimates. We foresee that the fourth quarter will be more dynamic. Therefore, all-in-all, real GDP growth could close to the year around 4%, similar to Chile’s rate and above the rates of Colombia, Mexico, Brazil and Argentina. In Chart #2, you can see the healthy improvement in the private formal employment as we mentioned in the previous slide. In Chart #3, you can see that the local and international interest rates, which affect our funding cost on businesses, increased during the third quarter of the year while the Peruvian Central Bank reference rate has remained stable at 2.75% since March 2018. Finally, in Chart #4, the orange line shows the local loans in Peruvian financial system expanded 8.9% year-over-year as of September 2018. It is important to highlight that quarter end loan balances at Credicorp grew 10.4% year-over-year as of September 2018. Please next page. Regarding our lines of businesses, I would like to mention some important aspects that marked the performance in the third quarter. In the case of universal banking, BCP posted a slight acceleration in loan growth, which led to a recovery in the margin. Although the cost of risk of the underlying portfolio reduced a level within the range posted for the first half of the year, the total cost of risk increased as we will explain later on. BCP Bolivia continued to report a relative good level of loan growth. This subsidiary however posted a contraction in non-financial income due to the decrease in net gains from sales of securities and a decrease in fee income. With regard to microfinance, Mibanco continues improving its operating efficiency. However, this quarter results did not show the same performance posted by Mibanco during the last 2 years. The third quarter results were affected by first, some products posted higher than expected levels of delinquency given that several initiatives, all implemented several quarters ago, proved inefficient. Corrective measures have been taken and we are beginning to see a turnaround in this respect. Second, there was an imbalance in the time that loan officers are allocated to origination versus collections. And third, the maturity of the last vintages related to the skip program of the El Niño phenomenon. It is important to note that we have implemented most of the adjustment needed to fine-tune the balance between loan origination and collections. Now, we are originating within our target risk levels and we are going to see an improvement in the next quarters. In the case of insurance and pension funds, the insurance business posted significant improvement in its profitability due to expansion in net earnings premiums, increasing financial income and reduction in expenses, which offset the increase in acquisition costs and claims. The pension fund business also improved its performance after recovering the profitability of its funds under management and those of its legal reserves. In investment banking and wealth management, this quarter, the proprietary books posted a partial recovery in their mark-to-market due to a slight improvement in market conditions. Fee income is gradually improving in particular asset management and structured lending. Finally, there was a decrease in sales and trading business that reflects the initial results of the previous quarter. Next slide, please. In this chart, you can see the most important figures of Credicorp’s performance in the third quarter. Credicorp reported net income of PEN1,011 million, which was 3.4% above the second quarter results, but 17% below those of the third quarter of 2017. The year-over-year drop in net income is attributable to the sale of BCI shares executed in the third quarter of last year, which generated a non-recurring income of PEN281 million. The results represented a return on average equity and average assets of 18% and 2.4% respectively. In terms of the loan portfolio, average daily balances expanded according to our estimates. However, cost of risk increased 45 basis points quarter-over-quarter, which will be reviewed in a few minutes in further detail. Net interest income and net interest margin posted improvements in this quarter. However, the increase in cost of risk resulted in a reduction of 7 basis points quarter-over-quarter in risk-adjusted NIM, but it improved 9 basis points year-over-year. Regarding to operating efficiency, the year-over-year evolution, which eliminates seasonality shows a slight improvement in the cost-to-income ratio. Finally, in terms of capital ratios at BCP standalone, as expected by BIS and Tier 1 ratios, decreased quarter-over-quarter and year-over-year due to a strong growth in risk weighted assets in line with loan expansion. In the other hand, common equity Tier 1 ratios increased 50 basis points quarter-over-quarter due to the net income generated this quarter. Next page, please. In this chart, you can see the year-to-date results. Net income year-to-date reached a level similar to the level posted last year. However, it’s important to remember as we mentioned few minutes ago that the last year results included the non-recurring income generated by the sale of BCI shares in the third quarter. Let’s review the main figures and indicators for the third quarter in more detail. Next page, please. As you can see in Chart #1, first, interest-earning assets measured in quarter-end balances remained relatively stable quarter-over-quarter and posted a slight increase of 1% year-over-year. Second, the mix in interest-earning assets continued showing a higher share of loans in the mix than other assets for the fourth consecutive quarter, while loans continue expanding investment, cash due from banks and interbank funds contracted. Third, as shown in Chart #2, loan growth has been mainly driven by the expansion in local currency loans unlike in past quarters when loan growth was led by both portfolios or just by foreign currency loans. Fourth, in Chart #3, you can see that in terms of loan mix by business segment, loan expansion in the third quarter was mainly driven by retail banking due to growth posted in mortgage and SME-Pyme segment. It’s important to note that loan expansion in the middle-market banking offset the contraction in corporate banking loans book. To summarize, the mixes of both interest-earning assets and the loan book were positive this quarter and helped with scope with the pressures in margins. Furthermore, the loan book mix by segment and currency also helped. Next page, please. In terms of funding, first, as you can see in Chart #1, Credicorp’s funding structure shows an increase in deposit shares of total funding, which is more evident in the year-over-year analysis. Second, in the same chart, you can see that due to banks and correspondents contracted, along with bonds and subordinated debt. All of this was offset by the increase in repos with the Central Bank, which were nonetheless obtained a lower interest rate than that of due to banks and bonds. Third, in the Chart #2 of deposits by type, you can see that the mix in deposits has also favored funding given the low cost deposits such as savings and non-interest bearing demand deposits increased their share. It is noteworthy the case of saving deposits, which posted an increase of 14% year-over-year that shows mainly the results of the kiosks for the opening of saving accounts, our first product launch as part of the transformation strategy at BCP. Fourth, as shown in Chart #3, Credicorp’s funding cost has remained relatively stable despite the upward trend in international rates mainly due to a more favorable funding mix both by currency and by funding source. Next page, please. Net interest income grew 4.1% quarter-over-quarter, 6%, year-over-year, and 4.1% year-to-date, which represent an improvement compared to the results posted in the previous quarter. This performance shows, first, the positive effect of loan growth on the interest income and more importantly of the loan mix by segments and currency as explained earlier. Second, the drop in interest expenses, which was attributable to a relatively stable funding cost and a more favorable deposit mix. Next page, please. As you can see in Chart #1, the total cost of risk reached a level of 1.67% in the third quarter due to first an increase in the cost of risk of the underlying portfolio, which reduced a level of 1.43% and remained within the range reported in first half of the year. Second, the effect of the execution of performance bond and the consequent refinances of debt for a specific client in the construction sector. It is important to know that this client is not related to Lava Jato case and such did not require provisions in previous years. Those we set aside provisions this quarter. With regard to the cost of risk of the underlying portfolio, the increase was due to a higher provision required quarter-over-quarter on Mibanco, which we explained early and to a lesser extent to the provisions required to support loan growth and the maturity of new vintages at BCP. Finally, in Chart #2, you can see the evolution of the total and the underlying cost of risk. It is important to note that the year-to-date cost of risk reached a level of 1.43%, which is 46 basis points lower than the level reported for the same period in 2017. Next page, please. In this page, you can see the evolution of delinquency and coverage ratios. It is important to note first, the internal overdue loan ratio, both total and over 90 days past due registered a slight increase during this year. Second, non-performing loan ratios reflect the effect of the execution of performance bonds registered in the second and third quarter. Third, coverage ratios in general remained at healthy levels and the decrease reflects the different loan mix and the improvement in the risk quality of the new vintages. Next page, please. Credicorp’s net interest margin continued to recover this quarter, reaching a level of 5.44% after six consecutive quarters with levels below 5.5%. This was mainly related to the acceleration of loan growth and to a more favorable mix both in interest-earning assets and in the funding structure than in previous quarters. Despite increase in the cost of risk this quarter and the ongoing aggressive competition that pressured margins, Credicorp’s risk-adjusted NIM has been relatively stable ranging from 4% to 4.5%. Finally, risk-adjusted NIM was situated at 4.35% as of September 2018. This represented an increase of 21 basis points year-to-date, which was mainly driven by the significant improvement in the cost of risk. Next page, please. On the year-over-year basis, which eliminates seasonality, the efficiency ratio represented a present – a slight improvement of 20 basis points in the context of which operating income grew at a higher rate than operating expenses. Growth in operating income was mainly attributable to an increase in the net interest income and to a lesser extent, to an improvement in all the other items such as fee income, net earnings premiums and gains in FX transactions. On the operating expense side, expenses grew mainly due to the growing expenses at BCP, specifically in administrative and general expenses. Year-to-date, the efficiency ratio deteriorated 30 basis points. This was the result of the slight higher growth rate in operating expenses than in operating income. The former expanded 5.9% and the latter grew 5.3%. The increase in operating expenses was attributable to the expansion in salaries and administrative and general expenses, mostly at BCP, as well as acquisition cost from the insurance business. In the analysis, operating efficiency by subsidiaries is important to note. First, the significant year-over-year and year-to-date improvement in Mibanco’s efficiency ratio. This was in line with the increase in the productivity of loan officers. Second, BCP Stand-alone efficiency ratio posted a deterioration year-to-date, which was expected in the context of this transformation strategy. Next page, please. On this page, you can see our guidance for the full-year, as well as the results achieved year-to-date. With these comments, I would like to open the Q&A, please.
Operator: Thank you, sir. [Operator Instructions] Our first question will come from Carlos Macedo with Goldman Sachs.
Carlos Macedo: Thanks. Good morning, gentlemen. Thank you for taking questions. So I really only have one question, it’s about loan growth. I know you’re talking about how you are growing above the market. The market did show a slight deceleration this last quarter in terms of growth. With the GDP growth accelerate in the fourth quarter, probably an acceleration there, what do you think is the level that you can grow, say, with GDP, I suppose, stays in a normalized fashion?
Cesar Rios: Excuse me, sorry.
Carlos Macedo: Yes?
Cesar Rios: Sorry for the interruption. We couldn’t hear very well at the beginning of the question. Could you please repeat?
Carlos Macedo: Okay, sorry. Sure. I was just wanting to ask one question on loan growth. You talked about how you’re growing ahead of the market. The market is a little bit slower, it’s slowed a little bit in the third quarter likely because GDP growth was slower. If GDP’s growth stays around 3.5%, 4%, given the potential they have in the consumer market and the growth in the labor market, what do you think could be a sustainable level of loan growth for you going to, say, 2019 and 2020? Is it 10%? Is it 15%? How quick do you think loans can expand?
Cesar Rios: As we have mentioned before, we state over time that the loan growth of the existing can grow around 1.4 times nominal GDP. That is going to give us a range slightly before – below 10% with recurring GDP expectations.
Carlos Macedo: But given the levels of penetration, isn’t that – obviously, in the past, if I remember, you guided something like 3 times real GDP, but the past is the past now. 10% with the levels of penetration in Peru particularly in the consumer side seems a little bit low. I know that informality is high and everything, but given the trends in the labor market, I would expect a little bit more?
Cesar Rios: Could be a little bit more growth specifically if we can, not only as BCP as a system to develop the capacity to lend to new segments. As a BCP, we’re working actively in doing that and we expect to have more significant visible results over time, not probably – not significant probably at the beginning of 2019, but as we can develop the capacity to distribute at a lower cost and with best risk measure tools, we can expand the market in the line that you mentioned previously, but it’s not going to be very visible at the beginning.
Carlos Macedo: Okay, thank you.
Operator: Thank you. Our next question comes from Andres Soto with Santander.
Andres Soto: Hi, good morning, Cesar and thank you for your presentation. My question is related to Mibanco. You mentioned an adjustment to the business volume, which included an increase in provision in this quarter and has slowed down in loan growth as you probably dedicated more resources to collections. After those adjustments, ROE declined to 22% versus the 30% that you have already achieved in this business. What can we expect going forward in terms of the potential profitability of Mibanco?
Cesar Rios: Probably recapping and regarding the adjustments, as you already mentioned, we have fine-tuning the balance between origination and collection. So we expect to start growing a more healthy rate down the road in the next quarter. And in terms of provisions probably we are going to see an improvement early next year. As a result, we will expect an improvement in profitability above the current levels, but probably not as high as the 30% that you mentioned before.
Andres Soto: Okay, that’s clear. Thank you, Cesar.
Operator: Thank you. Our next question comes from Jason Mollin with Scotiabank.
Jason Mollin: Hello. Thanks for the opportunity to ask the question. I just wanted to see – I didn’t know we had heard from Credicorp management about the digital transformation and some metrics. I don’t know if there – if you wanted to point to one of the metrics that we were focused on that the long-term objective of digital sales was 70%. And you were showing figures I think as of June of around 7% at BCP. I just wonder if you can give us an update on some of those metrics that we can try to track those more closely, I didn’t see them? Thank you.
Gianfranco Ferrari: Jason, this is Gianfranco Ferrari. We don’t have as of today the exact figures for the quarter. As we mentioned before the target of 70% is an aspiration. However, why the aspiration, because what we are seeing is that whatever new product we put in place in the digital – into the digital channel quickly achieved a rate of over 50% of sales through digital sales. So that’s why our aspiration is to tackle – to reach 70% by 2021. We can come back to you with the exact figure as of September of this year.
Jason Mollin: Okay, great. Thank you very much.
Reynaldo Llosa: Jason, just complementing this. This is Reynaldo. Remember that we started these in terms of numbers of sales of units, not in terms of the amounts disbursed. And what Cesar was commenting in terms of attracting new segments and tapping new markets probably require a very small loans for these for at least period of times. So it will be definitely an important growth in number of units sold, but not specifically in the amounts disbursed.
Jason Mollin: Okay. That color is helpful. It makes sense. Thank you.
Reynaldo Llosa: Okay.
Operator: Thank you. Our next question comes from Jorg Friedemann with Citibank.
Jorg Friedemann: Thank you so much for taking my questions, gentlemen. I have 2 questions. The first one both with regards to cost of risk, the first one more specifically on asset quality, NPLs have been affected over the past few quarters with some specific cases that you mentioned occurring both in the wholesale and also in the SME portfolios. So, just wondering, how comfortable you are with those specific cases going forward? I understand that we didn’t have anything else on the Car Wash investigation, but just wondering, how comfortable you are overall with the wholesale and SME portfolios? And the second question, you are now adopting IFRS 9 as long as you understand and in the beginning of the presentation, it was clear to us how comfortable you are with the economy, so how much improvement could we see next year in terms of cost of risk versus this 1.43% of reserve year-to-date? Thank you.
Cesar Rios: Probably, I am going to give you an initial answer and Reynaldo is going to complement me. The construction case, it’s one of these occasional situations that are usual in the wholesale portfolio that from time to time occurs. That is not a trend or a recurring event. And in the case of Mibanco, as we have mentioned before, we have addressed the main issues and we expect improvement early next year. In the underlining portfolio of BCP, we are going to have a slight increase in the risk level, but because we want to expand the loan growth as we have mentioned previously. In the case of BCP, it’s going to be a purpose increase taking in new markets and improving the loan growth.
Reynaldo Llosa: I agree with Cesar. I mean in the wholesale business I think we already have reached the peak in terms of provisions. So we don’t expect any further provisions in that portfolio, not in the construction industry or any other specific case, except specific cases that you always see in these markets. And in terms of the retail, we see very positive trend in both the SME and consumer markets. We have had a specific issue in Mibanco, but like what Cesar was mentioning, it has already been tackled and we expect very – good improvement in – starting in the first quarter of 2019.
Jorg Friedemann: Okay. And in terms of cost of risk, sorry in terms of cost of risk, should we already work for next year with an improvement versus these levels of 1.4 that you are running this year?
Cesar Rios: The guidance for this year, probably we are going to review that in the same vicinity, is a range between 1.3% or 1.5%.
Reynaldo Llosa: We as of today, we maintain that guidance.
Jorg Friedemann: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from [indiscernible] from Credit Suisse.
Unidentified Analyst: Good morning everyone. Thanks for taking my question. I do want to touch based on – sorry, can you hear me well?
Cesar Rios: Yes.
Unidentified Analyst: Perfect. So just wanted to touch base on the efficiency front, what we have – you haven’t discussed a lot of color on the initiatives taking place at BCP, I just want to touch base on other initiatives that are being undertaken in other subsidiaries such as Mibanco and Pacifico, I just want to see what has been done there, what can be done from here and what are your targets there, anything – any color you can provide on that sense will be helpful? Thank you.
Alvaro Correa: Hi, this is Alvaro Correa. You will see different stages in the digital transformation on the other subsidiaries. For instance in Pacifico, we already have an effort on a separate lab that we have created about a year and a half ago. We are working very strongly on that and we are at the point in which we will probably start increasing that effort and embedding it in the actual operation of the company. So the advances have been great. We have started to see very, very good advances on transactions being done, both in sales and also in the after-sales or servicing of the customers. So we are working on that and very, very good advances. And on Prima AFP, we have just started. We are probably a year behind. And in Credicorp Capital, we are going to start with an effort next year, early next year. So basically different stages, but all are committed to that.
Unidentified Analyst: Perfect, in terms of Mibanco, anything going on specifically there?
Gianfranco Ferrari: Yes. This is Gianfranco Ferrari. In Mibanco, I would say it’s at a similar stage than Pacifico. They started a digital lab about a year and a half ago. Basically and conceptually, what they are doing is without changing their distribution model, which is a very high touch model is basically focusing in how to leverage in digital tools in order for their RMs to become much more productive. So basically, they are working on routing, on being more efficient on routing and also related to the RMs, basically digital iPhone or handheld device.
Cesar Rios: To facilitate the closing of operations have all the information already in the field. But everybody as Gianfranco mentioned, regarding to the RMs productivity.
Gianfranco Ferrari: Without – but what is very important, I would like to highlight this is without changing the distribution model.
Unidentified Analyst: Thank you. Thank you very much.
Operator: Thank you. Our next question comes from Miguel Tola with CAPIA.
Miguel Tola: Good morning to everyone. Thanks for taking my questions. I have two questions, the first one comes from the presence of real estate collateral loans that – what you mentioned on the earnings report, it says like – it’s like a significant portion, can you tell me a little bit more about these type of loans, do you receive any kind of interest on them and what’s your expectations on the next quarter for these type of loans?
Cesar Rios: If I understand, good question. We are talking about mortgages. We are talking about SME loans with collateral that at the end has less level of risk, but when you have some defaults, the defaults stay in books longer. But of course, they are normal loans with higher – and high quality collateral.
Miguel Tola: Okay. Thanks. And the other question comes from the – for BCP standalone, we can see there is a decrease on the number of branches and ATMs, what are your expectations for the next quarters on this type of number, they are going to start going – translate into the digital platform or what’s your expectation about that?
Gianfranco Ferrari: Yes. That’s exactly the idea. Our plans are migrating. I would say on the transaction side, as a matter of fact, less than 7% of the transactions are done at the branches today. We still have a challenge on the servicing and selling part of the business. Going forward, what we see is that in net, we are going to close branches, we will still be opening branches in places where we are the leaders of commercial potential, but in net, we are going to be closing branches going forward.
Miguel Tola: Thanks for your answer.
Operator: Thank you. [Operator Instructions] Our next question comes from Carlos Gomez with HSBC.
Carlos Gomez: Yes. Good morning. In the past you have referred to competitive conditions in the corporate market, I think we can see common about that at this time, can you make an assessment about how competition stands now, both in corporate and in retail. Second, do you expect any consequences from the referendum and the changes in the introduction of framework in Peru for your business? Thanks.
Gianfranco Ferrari: I will answer your first question, competition is harsh in both corporate and the regional market. I would say the last three quarters. Especially in the corporate market the competition has been very, very harsh in terms of rates. We do see now that, that competition has been “more rational”. Margins are picking up slightly. And in the retail side, again it depends on the market or on the product, but from there, good competitors. Margins are slightly lower. However, we do focus on margins after risk or NIM after risk and that balance we believe we will achieve the balance where we are very comfortable. And again going forward, we see that we may gain market share. But most importantly, we want to keep that NIM after risk stable or with slight improvement. Regarding the referendum as a matter of fact, we don’t see any major impact in the way we do business in Peru.
Cesar Rios: And actually, the expectation probably has been incorporated in the economy, because in the previous quest, the results are already clear.
Carlos Gomez: Okay. Going back to competition, so again neither the savings banks nor the commercial banks at this point in your opinion are acting irrationally in any particular product?
Gianfranco Ferrari: I will have to have a discussion with you on what irrational means, no, the answer is no.
Carlos Gomez: Thank you very much.
Operator: Thank you. At this time, I am showing no further questions in the queue. I do apologize. We do have one question coming from [indiscernible] with Compass.
Unidentified Analyst: Hi, guys. Thank you for taking my questions. I just would like to know if you could give us some additional color on those specific measures for taking down the cost of risk at Mibanco. Just what are those specific measures, please?
Cesar Rios: Okay. Recapping the points that we have already mentioned, we have three main drivers. One is related to the balance between loan origination and collections. We have implemented a number of initiatives to improve the efficiency of the process and the productivity of the loan officers. At some point, probably the balance between loan origination and collections growth went too far in favor of the origination. We are in a high-touch business. This reduced focus on collections impacted the cost of risk. We have already tackled this issue and we are much better and much more productive than 1 year ago, but probably not at the peak that we reached probably 6 months ago, but we are in a much better position in relation to this point. The second was deterioration in certain specific products that at the end have cost of risk higher than we expected. We have made adjustments in the credit policy and in the monetary measures and we are originating now within the risk target levels. So, the new vintages are according to our expectations, but because we have we already in the books a couple of quarters of higher risk loans, we are going to see some higher provisions down the road in the next quarter and probably at the beginning of next year. And third, we have a more temporary effort impact that was caused by the last legs of the skips of the El Niño product that we have an impact in the last quarter. This is once at the end time that we don’t expect further impact from these factors. As a whole, we have addressed the main issues and we will expect low risk of levels in early next year.
Unidentified Analyst: Okay, great. Thank you.
Operator: Thank you. At this time, I am showing no further questions in the queue. I would now like to turn it back over to Mr. Walter Bayly, Chief Executive Officer of Credicorp for closing remarks.
Walter Bayly: Thank you very much all of you for joining us in this call. We clearly continue to live in a political environment, which is unstable though it is starting to settle down after a much more volatile first quarter. But hopefully, the political noise will continue to come down and the administration in the country can better focus on making the reforms and changes and taking the decisions that the country needs in order to better achieve its potential. Good news in the quarter for Credicorp was clearly the pickup in loan growth at BCP. As mentioned by Cesar, loan growth at Mibanco was relatively subdued, because we wanted to have a very good control on risk management. Overall, in Credicorp, we have had several isolated effects related to risk at BCP and at Mibanco, which in aggregate increased the cost of risk for Credicorp. We are not concerned. All issues have been identified, have been adequately addressed and dealt with and we are now seeing the new vintages well within our risk parameters. We have in this regard good expectations regarding what can happen at BCP regarding loan growth and risk management and at Mibanco regarding loan growth. And again as mentioned by Cesar, risk at Mibanco will continue to probably be a little bit higher than what has been in the past for the next quarter. The results in this quarter were favorably impacted by the good and improved results in all the non-banking subsidiaries which helped to offset the increased cost of risk. And just to finalize, we are very focused and moving forward very well on track on our medium-term plans and objectives and are extremely confident as to the sustainability of our businesses and the continuity of the results as we have been in the past and outlined in our guidance. With this again, I want to thank you all very much for joining us in this conference call and hope to be again at the end of the next quarter. Thank you very much and goodbye.
Operator: Thank you, ladies and gentlemen. This concludes today’s teleconference. You may now disconnect.